Operator: Good day, everyone, and welcome to the Nucor Corporation Second Quarter of 2021 Earnings Call. As a reminder, today's call is being recorded. Later, we will conduct a question-and-answer session and instructions will come at that time. Certain statements made during this conference will be forward-looking statements that involve risks and uncertainties. The words we expect, believe, anticipate and variations of such words and similar expressions are intended to identify those forward-looking statements, which are based on management's current expectations and information that is currently available. Although Nucor believes they are based on reasonable assumptions, there can be no assurance that future events will not affect their accuracy. For information about the risks and uncertainties relating to these forward-looking statements may be found in Nucor's latest 10-K and subsequently filed 10-Qs, which are available on the SEC's and Nucor's website. The forward-looking statements made in this conference call speak only as of this date, and Nucor does not assume any obligation to update them, either as a result of new information, future events or otherwise. For opening remarks and introductions, I would like to turn the call over to Mr. Leon Topalian, President and Chief Executive Officer of Nucor Corporation. Please go ahead, sir.
Leon Topalian: Good afternoon, and welcome to our second quarter earnings call. Joining me on the call today are the members of Nucor's executive team, including Jim Frias, our Chief Financial Officer; Dave Sumoski, Chief Operating Officer; Al Behr, responsible for Plate and Structural Products; Doug Jellison, responsible for Raw Materials and Logistics; Greg Murphy, responsible for Business Services and our General Counsel; Dan Needham, responsible for Bar and Rebar Fabrication Products; Rex Query, responsible for Sheet and Tubular Products; MaryEmily Slate, responsible for our Enterprise Commercial Strategy; and Chad Utermark, responsible for Engineered Bar and Fabricated Construction Products. Thank you for joining us today. With demand for steel remaining strong in most of our facilities operating at peak performance, we have not lost focus on our goal of becoming the world's safest steel company. We continue to perform well on the safety front as we look to make 2021 our safest year ever, besting our record set just last year. In particular, I want to acknowledge the progress demonstrated by our sheet mills in our two DRI facilities for achieving world-class safety performance so far this year. I encourage all of our teammates to maintain their focus on safety so we can achieve the most important goal that we have set for our company. Consistent with last month's guidance, Nucor posted record quarterly earnings in the second quarter. Our earnings of $5.04 per share surpassed our previous earnings per share record set last quarter. Our first half earnings of $8.13 per share exceeds our full year EPS record of $7.42 set in 2018. All three operating segments are continuing to generate robust profits due to strong demand, higher average selling prices and excellent execution across Nucor. In our Steel Mills segment, we saw the greatest improvement in profitability from our sheet and plate mills. The performance of our Steel Products group also improved compared to the first quarter. Jim will provide more details about our performance this quarter and our outlook for the third quarter in a few minutes. This level of performance is the result of years of work strategically growing and positioning our company to thrive in market conditions like we are experiencing today. My congratulations to the entire Nucor team. There are several fundamental drivers of the strong market conditions Nucor is benefiting from today. The most important of these is robust demand, virtually all the steel end use markets that we monitor are growing. Some of this growth may simply be catch up from the pandemic-induced economic loan we experienced here in the U.S., but we think it goes beyond a temporary rebound. One sign of this is the increasing confidence about next year that we sense from our customers, ranging from automotive, trucking, heavy and ag equipment and across the construction sector. There are noteworthy new drivers for growth in steel demand, warehouses for e-commerce, renewable energy projects and an increase in U.S. manufacturing investment, focused on greater supply chain resiliency are all creating new market opportunities for Nucor. Very strong housing and automotive markets are also creating incremental steel demand, not to mention activity by state DOTs, whose infrastructure investment spending has held up better than expected. We are fortunate that several of our strategic growth investments have come online during this period, and our results reflect better-than-expected contributions from Nucor Steel Mills in Sedalia, Frostproof, Kankakee, Marion, Gallatin's new galvanizing line and Hickman's new cold mill. My thanks, especially to our teammates at these locations, who have worked safely to ramp these projects up quickly to meet market demands. Our strategy continues to be: grow the core, expand beyond and live our culture. We are continuing to make targeted investments and acquisitions to grow our share in attractive markets and increase our long-term earnings power. We are complementing our investment strategy with a sharpened commercial focus that is enabling us to leverage our broad portfolio and deliver increased value to our customers with more integrated solutions. Acquisition announcements we made in the second quarter are focused on the expand beyond part of our mission statement. Our pending acquisition of Cornerstone Building Brands, Insulated Metal Panels business, IMP for short, is squarely aimed at some of the fastest-growing markets I've mentioned. For example, distribution center investments driven by evolving consumer preferences regarding e-commerce and grocery delivery as well as the expansion of data centers and server farms, which all require temperature-controlled environments. Cornerstone's IMP business is a market leader and innovator in the growing IMP product category. IMP products are gaining market share as companies and institutions continue to focus on environmental performance and energy efficiency. The superior insulating performance of IMP products reduces energy usage and overall operations-related greenhouse gas emissions Additionally, IMP products are easier to install with lower maintenance cost versus other wall and roofing solutions. Cornerstone's IMP business is an excellent fit with Nucor Buildings Group and we are confident that we can help the team there take performance to an even higher level. We also announced earlier this week our agreement to acquire Hannibal Industries, one of the largest steel pallet rack manufacturers in the U.S. Hannibal provides racking solutions to warehouse serving the e-commerce, industrial, food storage and retail segments. Adding Hannibal to Nucor creates a new growth platform that broadens our offering to the distribution center market, including beams, joist deck, metal buildings and, of course, insulated metal panels. As an employee-owned company, we are optimistic that Hannibal Industries will be a great fit with the Nucor culture. Also, on the expand beyond front, we continue to build out our own growth platform in industrial gases, enabling lower cost supply to our steel mills, while also creating additional streams of revenue with sales to third parties. The team that joined Nucor with our acquisition of Universal Industrial Gases in 2019 continues to do a great job executing these initiatives. We have an operating air separation unit at Nucor Hertford and are actively selling liquid gases on the open market. We will continue to have more ASUs supporting our other mills up and running in the coming months. We are bringing the safety-focused, performance-driven, team-oriented Nucor culture to each of these businesses, and we are excited to welcome these teammates to the Nucor family. As one of the cleanest steel producers on the planet, Nucor will continue to take our environmental leadership position even further. Our new greenhouse gas reduction commitment will take our carbon intensity down to 77% below today's world average. Our commitment is to reduce our Scope 1 and 2 greenhouse gas emissions intensity by a combined 35%. This commitment will be measured against the 2015 baseline, the year the Paris Climate Agreement was signed. At our current greenhouse gas intensity, Nucor has already achieved the steel sector benchmark established in the Paris Agreement. Our performance today is what many of our competitors around the globe are aspiring to achieve by 2030, '40, '50 and beyond. And compared to many of our integrated competitors, our starting point is already better than their near and intermediate goals, and now we're going to get even better. We are a leader today in sustainable steel production and our commitment to further reduce our emissions intensity will keep us a leader as we move forward. Turning to infrastructure. We urge Congress to make good on the recent bipartisan framework reached in the Senate and come together to pass a significant infrastructure funding bill. We strongly believe that modernizing our infrastructure will boost our nation's economic competitiveness, not to mention, making us all safer. Federal infrastructure spending plans currently under consideration are expected to increase U. S. steel demand by as much as 5 million tons per year for every $100 billion of new investment. Nucor is incredibly well positioned to provide steel for infrastructure projects across U.S. We are encouraged that the President and members from both parties continue to focus on this issue, and we are hopeful that they can come together to form a bipartisan solution. Again, it is gratifying to see how years of hard work and planning are paying off in this incredibly strong steel market. We're excited about the expanded capabilities we can offer our customers because of our capital investments and acquisitions we have made in recent years. To the entire Nucor team, congratulations on an excellent first half of 2021. Let's continue to execute and make this our safest and most profitable year. Now, Jim Frias will provide more details about our performance in the second quarter. Jim?
Jim Frias: Thanks, Leon. Second quarter earnings of $5.04 per diluted share exceeded our guidance range. Better-than-expected results for the month of June were achieved across a broad group of businesses, including our beam mills, bar mills, sheet mills, rebar fabrication, tubular products and joist and deck. Nucor's diverse portfolio of products and capabilities is consistently a powerful driver of value creation for Nucor shareholders and customers. Recently completed capital projects made significant and above budget earnings contributions in the first half of this year. These projects are the rolling mill modernization at our Ohio rebar mill, the hot band galvanizing line at our Kentucky sheet mill; the specialty cold rolling mill at our Arkansas sheet mill; the rebar micro mills in Missouri and Florida; and the merchant bar rolling mill at our Illinois bar mill. These targeted investments are enabling Nucor to earning a growing and profitable share of the markets we serve. The Hickman, Arkansas specialty cold mill is an excellent example of Nucor's growth strategy. There are no other carbon steel mills in North America that match our new range of capabilities. In the second quarter, the Hickman specialty cold mill ran at 118% of rated capacity, more than double its originally projected production ramp time line. Since beginning operations in mid-2019, this project's life-to-date profitability also substantially exceeds its initial forecast. And the Hickman team is looking ahead to further expanding long-term earnings power as it begins the work of commissioning its third-generation flexible galvanizing line equipment. The state-of-the-art capabilities of these new assets will position Nucor to further grow our automotive footprint. We will provide our automotive customers the greenest, most advanced high-strength steels in the industry. These deals will provide our customers the ultimate solution that satisfies their needs, long into the future. Our success bringing strategic projects like this online reflects the Nucor team's commitment to being effective stewards of our shareholders' valuable capital. Our growth investments are targeted at defined market objectives and opportunities to generate attractive returns with reduced volatility through the economic cycle. Financial strength continues to be a critical underpinning to Nucor's ability to grow long-term earnings power. At the close of the second quarter, our cash, short-term investments and restricted cash holdings totaled $3.2 billion, compared with the end of the first quarter position, our second quarter cash position increased by about $226 million. That increase is after funding share repurchases of $614 million, cash dividends of $123 million, capital expenditures of $389 million and a working capital expansion on the inventory receivables and payables line items totaling about $945 million. Nucor's liquidity also includes our undrawn $1.5 billion unsecured revolving credit facility, which does not mature until April of 2023. Total long-term debt, including the current portion, was approximately $5.3 billion at quarter end. Gross debt as a percent of total capital was approximately 30%, while net debt was 12% of total capital and remains well below our targeted range of 18% to 23%. We remain materially underleveraged on this basis, but we anticipate that this will change somewhat as we deploy capital to acquire Cornerstone's IMP business and Hannibal Industries. We're excited to be moving forward with these new growth platforms. We expect that these businesses, along with the numerous internal growth projects we have been executing on, will materially add to Nucor's earnings and cash flow generation in the years ahead. Cash provided by operating activities for the first half of 2021 was $1.9 billion. Nucor's free cash flow or cash provided by operations minus capital spending was $1.2 billion. Nucor's financial strength and robust through-the-cycle cash flow allows for consistent balanced approach to capital allocation. We now estimate total year capital spending of approximately $1.8 billion. Each of our three most significant capital projects, the expansion and modernization of the Gallatin, Kentucky sheet mill; the Generation 3 flexible galvanizing line at the Hickman, Arkansas sheet mill; and the greenfield Brandenburg, Kentucky plate mill, remain on schedule. At Brandenburg, the timing of some equipment deliveries has been delayed, but overall, the project remains on schedule for a late 2022 commissioning. During the second quarter, we continued to see attractive value in our shares, repurchasing 6.765 million shares at an average cost of approximately $91 per share. Over the first half of this year, Nucor share repurchases totaled more than 12 million shares at an average cost of about $75 per share. Shares outstanding have been reduced by approximately 3% from the year-end 2020 level. For the first half of 2021, total cash returned to shareholders through dividends and share repurchases totaled just under $1.2 billion, representing approximately 47% of net earnings for the period. As we have said previously, we intend to return a minimum of 40% of our net income to Nucor shareholders. We are rewarding shareholders with substantial cash returns while continuing to invest for future profit growth and maintaining a strong balance sheet. Turning to the outlook for the third quarter of 2021, we are encouraged by a number of positive factors impacting our markets. As Leon mentioned, we see improving or stable market conditions for the vast majority of the end-use markets served by Nucor. In fact, order backlogs at most of our businesses suggest strength well into 2022. Further supporting our optimistic outlook, inventories throughout the supply chain remain lean. We expect earnings in the third quarter of 2021 to again set a new record. Compared to the second quarter, we expect earnings growth at all three of our segments, most notably our Steel Mills segment. Additionally, with our expectation of a strong fourth quarter, we believe second half of 2021 earnings will exceed first half of 2021 earnings. Nucor's record results highlight the success of our 27,000 team members building a stronger and more profitable Nucor. Our team's 2021 performance is simply outstanding. We remain excited by the opportunities ahead for our company. We have great determination to deliver increasing long-term value for our shareholders. Living our culture means driving sustainable performance. Thank you for your interest in our company. Now, we'd be happy to take your questions. Operator?
Operator: [Operator Instructions] And we'll take our first question from Emily Chieng with Goldman Sachs. Please go ahead.
Emily Chieng: Good afternoon, Leon and Jim. Thanks for the update today. I'd like to start off with sort of the M&A strategy that you guys have at Nucor. Clearly, you've focused on sort of the downstream fabrication type of assets so far. But when you look ahead and think about the opportunity set that's out there, is it more the same type of assets that you've looked at currently? Could there be potential for steel production capacity consolidation or even further upstream?
Leon Topalian: Yes. Thanks for the question, Emily. Look, I would tell you broadly, as I mentioned in my opening remarks, our mission is to grow the core, expand beyond and live the culture. We see opportunities as we think about growing the core, and that's the expansions at our Hickman galvanizing line to become the first EAF to be able to produce a full generation three steel for the automotive sector. It's the expansion at our Gallatin sheet mill in expanding that footprint into a more attractive returns in different sectors like automotive, energy, and our culmination with the largest single investment in Nucor's history, our plate mill in Brandenburg, Kentucky, that's going to be brought online next year. That's going to be located in the heart of the largest plate-consuming region in the United States. And from a timing perspective, as we think about the renewable energy market and sector, that mill is incredibly ideally positioned and well suited to meet the demands of both onshore wind, but particularly offshore when that grows as a business. But we also see opportunities as we think about growth in the core outside of that. And so there are times that you're going to see Nucor continue to look within the framework of traditional steelmaking lanes that we've operated in for the last half of a century, but also expanding beyond. And that is the recent acquisitions with both Cornerstone and Hannibal that fit Nucor's long-term strategic objectives of maximizing shareholder returns. But also Emily, it's a focus on moving into markets that are truly growing. As you know, steel is a cyclical business in the industry and what we see in those renewable space what we see in the green economy and digital economy is a fast-growing and increasing market opportunity for Nucor to maximize and leverage its strength, its cultural stewardship and to bring a leadership perspective into those businesses.
Emily Chieng: That's really helpful and makes sense. One quick follow-up. I know you mentioned updated time or sort of a reiteration of the timing of the Brandenburg start-up. Can you provide some similar details for the Gallatin hot band capacity expansion and the galvanizing line at Hickman, please? Thank you.
Leon Topalian: Yes, I'll turn that to Dave Sumoski, our Chief Operating Officer, to provide a little more color on both of those projects.
David Sumoski: Yes, both those projects are scheduled to come up at the end of this year. They're both still on target for that. And as Jim and Leon both mentioned, we're really excited about the expanded capabilities that those projects will bring. Some recent projects that came up and the success that we've had, that the team has shown and been able to do, it gives us a lot of confidence and a lot of excitement that these projects will come up and they'll come up running better than ever or faster than ever. If you think about the Gallatin galvanizing line, they're already running that way past the inflate capacity. Jim mentioned the cold mill over in Arkansas running at higher than the nameplate. So they basically ran slightly higher than nameplate as well in Florida. Florida is moving right on under their heel. So very excited about the team and the team's capabilities of providing these projects or bringing these projects online safely.
Jim Frias: One clarification. When Dave said both these projects, I think he was referring to the Hickman line and Gallatin. Brandenburg is not until late 2022.
David Sumoski: Yes. That's correct.
Leon Topalian: The final point Emily, I'd like to share as we think about growth and it really is a backdrop, as Nucor filters through all of our strategic growth strategies, as Nucor is not looking to build capacity. We're looking to build capability. And so as we think about our growth strategy, it's not about a volume play. It's about offering a differentiated value proposition for our customers to create, again, long-term shareholder value.
Operator: Our next question will come from Carlos De Alba with Morgan Stanley. Please go ahead.
Carlos De Alba: Thank you very much everyone, very solid quarter. So a couple of questions, if I may. Just one is on working capital, obviously, it consumed cash this quarter. How do you see that progressing in the second half of the year? Prices remain quite strong, volumes also quite solid. So should we assume a similar run rate in the coming quarters or more of a stable stabilization at these levels? And then if I may ask if you have any comments about how the HPI operations perform? And what is the outlook for prime scrap in the coming quarters? That would be great.
Jim Frias: I'll take the first one, and I'll let Leon decide who's going to talk about DRI not HBI. But working capital -- that's okay. If we look at working capital, is inventory receivables and payables, it consumed over $900 million of cash in Q2. We expect that to moderate in the balance of the year. It's still going to require some increase. It will depend on how much scrap prices go up, if they do. And of course, we know sheet pricing is going up because of the way the CRU contracts our impact. I think we just recently announced price increases in some other products as well. So, we'll see some price inflation that will cause working capital to go up further, but probably not at the same pace as we experienced in Q2.
Leon Topalian: Yes. And on the second part, Carlos, I wanted to ask Doug Jellison, our EVP of Raw Materials, to give you a little update on our two DRI facilities.
Doug Jellison: Carlos, both of our DRI facilities are operating very well. The teams are performing at world-class reliabilities and uptime, the quality is outstanding. We see the balance of the year being just pretty standard in routine, no excitement there. Prime scrap, the prime scrap market, we see a pretty steady flow and kind of a leveling off of price in the prime scrap in there.
Carlos De Alba: Alright. Excellent. Thank you very much. DRI, yes, I thought so much API recently.
Doug Jellison: No worries.
Operator: All right. And up next, we'll hear from Curt Woodworth with Credit Suisse. Please go ahead.
Curt Woodworth: First question, I know the sheet market seems to get a lot of the positive press, but we've seen pretty significant recovery in the plate in most of the long product markets. And we've heard that some of the specialty beam sizes have actually been sold out in the next 6 to 7 months. So I was just hoping, if you could provide a little bit more color on what you're seeing across plate and long products? And how you would kind of compare those markets, be it lead times, backlog levels relative to what you're seeing in the sheet market?
Leon Topalian: Yes. Maybe I'll kick it off, and then Al, if you want to dive in a little bit deeper on plate, and then Rex may be on the sheet side. It's a great point. And you're right, for a lot of obvious reasons as we think about. Sheet does get a lot of press. It's a 60 million ton a year market. It's an important segment for Nucor. It's certainly front of mind as we think about the opportunities for us as we move more into the automotive sector. But to your point, as we think about the contrast, I've spent several of my years at the beam mill at Nucor Yamato. Over the last decade or so, I would say Nucor Yamato is averaged in that 70% utilization range. They're approaching 90% today, and we've not seen that for nearly a decade. And so the performance of that mill has been exemplary through that period, profitability-wise. But now in this market, we're seeing an incredible strength. Backlogs are improving. Order conditions are improving in the forecast as we move, not just through the rest of the year, but in some cases, well into '22, strength through the cycle in many of those groups. All of that is to say -- none of that is to say, rather, or include any thought of what a meaningful infrastructure bill being passed in the United States could do and include. And again, we have room, we have opportunity in terms of creating and generating more steel for that sector. But the same conditions exist in long products. Al, why don't you touch on plate and then again, Rex on sheet?
Al Behr: Yes. Thanks, Curt. I think Leon covered that really well. Construction is obviously a huge market for beams and it is for plate as well and it speaks to the strength of non-res construction that we've seen all this year. A lot of that construction is centered on low-rise industrial, warehouse distribution, data centers, what's left to start showing some life is high-rise, which is only continued tailwinds for the beam market and the high-rise construction has been very, very slow over the last year or so, but it's starting to show some signs of life. In the plate market, specifically, really all markets are quite strong. The heavy ag market, transportation with rail cars, even oil and gas is starting to come back now. That's been one of the weaker markets, but we're starting to see activity in oil and gas and then take cars, you've got to move oil one way or another. And if it's not in the pipeline, it's in a tank car. And so we see continued strength in the plate market. We see a good balance between supply and demand. That's what drives the pricing of the product, and we see continued strike through the second half of this year and then some.
Doug Jellison: Yes. Curt. It's Rex Query, on the sheet side, just a couple of comments to add. It's very, very comparable to what Al mentioned, backlog remains very strong. To follow on a comment from, Leon, about building capability, not necessarily capacity. On the sheet side with the projects that Sumoski mentioned, that Dave mentioned. We've got both. We have the capabilities going -- increasing at Hickman with the gal, the capacity coming online at Gallatin. Sectors are strong, building construction energy more on the renewable side that we see. We're squeezing some of our outages. We're not going to compromise our reliability, but we are pulling some days out when we can on our outages on the sheet side so that we're able to produce more. And auto is tepid right now. So we haven't seen that with the chip issues that are going on. So we see there's a future opportunity as that comes about to see strength in the future on that. So that's the sheet side.
Curt Woodworth: Great. Thanks. And as you think about longer-term progression of the business becoming more value-add and more specialty platem, I assume that would drive incremental demand for higher quality metallics and there's been a lot of debate in the market about shortage of prime scrap and being overly dependent on, say, pig iron from Russia and things like that. Do you think there's scope for additional investment into DRI or additional facilities to support DJJ? Just curious how you think that fits in and how does that fit into also the carbon strategy?
Leon Topalian: Thanks, Curt. And look, I'll touch on it and ask Jim or Doug, to chime in. As we think about your framing, you're right. As we think about Nucor expanding and some of our competitors expanding further upstream into more value-added businesses. On the EAF side, the demand for prime is going to get tighter. And that is why Nucor long ago began a very thoughtful and long-term strategy to control more of our metallics inventory. And that's why we built the facility in Louisiana. And again, I'm proud of the team. I'm proud of the work that they've done. For way too many years on this call, we shared one reliability issue after the next. Their downturn that they took back in 2019 to fix the reliability issues has manifested itself to what Doug shared earlier in terms of world-class reliability, now operating not just in Trinidad, which is done for a long time, but now marrying that up with our capability in Louisiana. So, under new course control, we have about 4.5 million tons of DRI metallics that are in our direct control, and move forward. And as we think about expansion and the demand on the metallic side, is there opportunity? Yes, I think there's some opportunities as we think about -- is there an opportunity in this country for certain integrated competitors to make pig iron in those facilities and have a sourced buyer in the United States, absolutely. And Nucor would be absolutely supportive of that strategy. But again, that's for them to sort through and work through. But again, we're confident in our capability today.
Doug Jellison: Not much to add to that, Leon. I think you did a good job on that.
Operator: And now we'll hear from Phil Gibbs with KeyBanc Capital Markets. Please go ahead.
Phil Gibbs: What are your expectations right now in the third quarter versus the second quarter just in terms of overall steel volumes? They've obviously been very strong in the first half of the year. Sometimes you get seasonality, sometimes you don't. I know you're taking outages here and there. So what are your expectations just for the steel volumes?
Leon Topalian: Yes. Look, I would tell you that we're expecting a more slightly higher than what we saw in Q2. So not substantially greater, but we do see some improving end markets, and we think the opportunity is there for us to run a little bit stronger in Q3.
Phil Gibbs: Okay. And then I did notice just on your cash flow statement that you had some inflows from taxes. And I know some of that was anticipated with putting some new assets into service. Can you just remind us, Jim, how much you have left in terms of cash tax avoidance maybe for the balance of the year and then in 2022?
Jim Frias: I'm sorry. I got interrupted. Ask me again, Phil?
Phil Gibbs: No, I just said I noticed on the cash flow statement that you had some cash tax inflows. So you avoided some cash taxes in the first half of the year. I think it was around $300 million from memory. What do you have in the back half, if anything, in terms of the difference between your effective and cash taxes? And what could that inflow be, if anything? And then in 2022, as Gallatin comes into service, is there more cash tax inflows coming from that?
Jim Frias: I don't have it at my fingertips, Paul is right here, and he's trying to whisper to me, and I'm not understanding. Paul, why don't you give him the number?
Paul Donnelly: It's $250 million about this year, Phil, and probably about another $250 million or so in '22 from accelerated depreciation benefits.
Jim Frias: But Phil, the number you saw in the statement of cash flow, just to be clear, that's not initially that exactly. It's more of the timing of our accrual versus the payments we make quarterly. So that would be true that is purely being related to the benefits we get from accelerated depreciation on those capital investments. Okay?
Phil Gibbs: Okay. So the $250 million, just take the portion -- yes, go ahead.
Jim Frias: Well, we're going to get $250 million of benefit in what we pay versus what we accrued this year and $250 million next year. But it's not just as simple as looking at that line of statement of cash flows to see.
Phil Gibbs: Okay. And then in terms of end demand, I know you had said a lot of your end markets in the right direction. Right now, automotive has been sort of squishy, given the push outs in the second quarter and some of the downtime that manufacturers have taken one of your competitors earlier today said that they had to withhold some volume and kept in their inventory, that they hope to lap later this year. I mean, any thoughts in terms of what you all are seeing on automotive and what are the signals spend? And what are you planning for because it's been very tough to read from our standpoint?
Leon Topalian: Yes. Look, let me begin with the kind of the backdrop of as we think about semiconductors and one of the things that I think most Americans have learned through this pandemic is, this nation needs to be a nation that builds and makes things again, and we've got to restore manufacturing in this country, whether it be pharma, PPE, medical equipment devices and semiconductors. But directly to answer your question, you think about the days on hand in the automotive world of about 27 days on hand, inventory numbers are staggeringly low. We think about the rental car fleets across this nation, it's going to take a long time to replenish the dealer inventory networks as well as the rental car side. But as we mentioned, our investment strategies and our move in automotive is really exciting for Nucor. We're about 1.5 million tons today into the automotive sector. And our focus is to, in the next several years, double that. Our OEM relationships that we've built over the years, now becoming General Motors Supplier of the Year back to back to back years, three years in a row, our team has done a phenomenal job. I couldn't be more proud of the work that's done. So while I do think we're going to see some constraints, obviously, you're reading the headlines as we are in talking to our customers. There's going to be a lot of pressure, right? The GM announced they're going to take some downtime on some of their Silverados and building out of their pickup trucks. None of that is by design, right? It's because they can't get the parts that they need. So while it will have an overall material impact to the industry, Nucor's volumes are not significantly off. And we have a unique platform where our 14 OEM direct customers that we have today are asking Nucor to take bigger shares, and that is, again, an exciting opportunity as we think about marrying up the investment strategy to where our long-term goals want to be in automotive.
Phil Gibbs: I appreciate that. And then if I could ask one more, kind of a two-part. I guess what are you seeing right now in the oil and gas sector? I think one of your competitors essentially said the drilling side is getting better and the transmission side is wonky because of some failed pipelines. And then what are you also seeing in the SBQ supply chain?
Leon Topalian: Sure. Maybe we'd begin with the end, Chad, if you want to maybe just provide a little backdrop. Chad Utermark is responsible for our engineered bar group. And Chad, why don't we start there, and then I'll touch on the oil and gas.
Chad Utermark: Yes. Thanks, Leon, and Phil. Yes, overall, the SBQ market, which probably lagged a lot of our markets as we came into 2021, we're starting to see that strength come back. I would classify it as becoming strong and getting stronger, led by auto part. Obviously, there's -- we talked about some of the constraints on auto, but the heavy truck transportation, et heavy equipment, all those things, we're starting to see pickup, even the oil and gas. So overall, I'm optimistic as we move forward in the SBQ markets.
Leon Topalian: Yes. And Phil, I'd just say, I mean, to your question around oil and gas, obviously, the weakest of the end markets through '20 and '21. Obviously, ongoing recovery in energy prices suggest improving OCTG and line pipe demand ahead, difficult to forecast as we move forward. We do see signs of life and some improved activity there, but I think all the end markets we serve, certainly the most or the longest to recover, I think that will continue through the rest of this year as we move into '22. We're cautiously optimistic that will continue to improve.
Operator: And that concludes our Q&A session for today. I'll turn the call back over to Mr. Leon Topalian for any additional or closing remarks.
Leon Topalian: Thank you. I'd like to conclude today by once again thanking our Nucor teammates for your focused commitment to living our culture and how we take care of our team, customers, shareholders, and for delivering on our most important value, the health, safety and well-being of the entire Nucor family. Thank you for your interest in our company, and have a great day.
Operator: And this concludes today's call. We do thank you for your participation, and you may now disconnect.